Operator: Good morning, and welcome to the Compass Minerals Third Quarter Earnings Conference Call. All participants will begin in a listen-only mode. A question-and-answer session will follow the presentation by management. Today's call is being recorded and replays will be available on the company's Investor Relations website. I'll now turn the call over to Theresa Womble, Director of Investor Relations. Please go ahead.
Theresa L. Womble - Compass Minerals International, Inc.: Good morning, and welcome to our call today to discuss our third quarter 2020 results and rest of year outlook. We will begin with prepared remarks from our CEO, Kevin Crutchfield; and our CFO, Jamie Standen. Joining in for the Q&A session are Brad Griffith, our Chief Commercial Officer, as well as George Schuller, our Chief Operations Officer. Before we get started, I'll remind everyone that the remarks we make today represent our view of our financial and operational outlook as of today's date, November 5, 2020. These expectations involve risks and uncertainties that could cause the company's actual results to differ materially. A discussion of these risks can be found in our SEC filings located online at investors.compassminerals.com. Our remarks today also include non-GAAP financial measures such as adjusted EBITDA and free cash flow. You can find reconciliations of these items in our earnings release or in our earnings presentation, both of which are also available online. With that housekeeping out of the way, I will now turn the call over to Kevin.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Thank you, Theresa, and good morning to everyone. I know this is a busy earnings day for many of you, so thanks for taking the time to join our third quarter 2020 earnings call. As we published in our earnings release last night, our third quarter 2020 results were below prior-year levels. There are several reasons for that delta, primarily related to delayed ordering of plant nutrition products in our North and South American markets. Those timing issues were driven by very dry weather in both Brazil and key North American markets as well as extreme wildfires in the western part of United States. We also reported an unfavorable non-cash inventory adjustment related to an error in bulk stockpile measurement at our Ogden, Utah SOP facility which Jamie will discuss in more detail shortly. Because we expect these third quarter market disruptions to be short-term, I'll focus my remarks instead on our year-to-day performance. On a consolidated basis, operating earnings for the year-to-date period increased 19% and EBITDA rose 10% compared to 2019 results. In addition, we generated over $188 million of cash flow from operations, which is a 93% increase from 2019. These are very strong results given the fact that we experienced a mild winter in all of our deicing markets in the first quarter as well as the operational challenges stemming from the global pandemic beginning in March. We also highlight in our presentation the excellent trajectory we are on in terms of the safety of our employees. As many of you have heard me say before, our number one priority as a management team is ensuring our employees go home at the end of their shift as healthy as when they arrived. Our focus on this Zero Harm culture has been as critical to our ability to navigate the current pandemic as it is toward the sustainability of our organization. And anyone who has spent their career in mining knows the value of this focus benefits all stakeholders as it has been proven time and time again that, over the long-term, the safest operations are also the most productive operations. This quarter, we continued to see a decline in our total case incident rate or TCIR. In addition to achieving a multi-year low for our 12-month rolling TCIR average, I'm very happy to share that our TCIR in September was among the lowest of any month in the history of the company. I would also like to specifically commend the employees at our Ogden facility for their exemplary safety performance. They're very near to achieving 1 million exposure hours with no lost time safety incidents. As a leading indicator for operational success, this continuous improvement in our safety metrics speaks volumes about the discipline and commitment to safe and responsible operations our employees bring to their jobs each and every day. We clearly see the impact of this improved operational discipline and execution in our Salt business highlighted on slide 5 of our quarterly presentation. I may sound like a broken record here but it's a song I'm really glad to sing. Our Goderich mine continued to deliver very strong year-over-year production results. For the quarter, production volumes were 53% ahead of third quarter 2019 results while the cost to produce these tons declined 24%. On a year-to-date basis, production tons have increased 28% from 2019 levels and production costs are down 11%. These steadily improving metrics highlight the strength of our continuous mining platform there which will help to ultimately secure Goderich's position as the leading salt mine in North America from both a cost and volume perspective as we continue to build our new mine plan there over the long-term. Our Cote Blanche mine has also demonstrated strong performance year-to-date, not to mention an impressive dose of moxie by meeting the challenges posed by not one but four significant hurricane events in 2020. These storms resulted in seven lost production days during the third quarter and another four lost production days in October. The preparations made by our team to protect the site and the safety of our people meant we've been able to resume production efficiently and effectively after each event. As another testament to our operational agility, we expect to make up most, if not all, the lost production from those unplanned outage days by the end of the year. This quarter, the Salt segment also delivered early benefits from our enterprise-wide optimization effort, particularly in terms of lower logistics costs. Our logistics team has worked diligently to reshape our network of partners to maximize efficiencies across our operations to deliver cost savings while maintaining strong service levels for our customers. Keep in mind that we typically move more than 12 million tons of bulk materials using multiple transportation modalities each year. Their work has helped to offset the impact of some of the short-term freight rate inflation we're experiencing this year. Our commercial teams have also been highly engaged in the enterprise-wide optimization effort looking for opportunities to adjust and improve customer mix as well as pricing levels. These efforts were largely responsible for the 8% year-over-year increase achieved for Consumer and Industrial average selling prices this quarter. These achievements were important drivers for the margin expansion we've reported and helped us overcome the impact of lower sales volumes due to mild winter weather so far in 2020 as well as the COVID-19 impacts on non-deicing salt sales. Before moving on, I'd like to provide a final update on the 2020-2021 North American Highway Deicing bid season. Given the mild weather during last winter, it came as no surprise that the bid season was (00:07:50) as we noted in our second quarter call with total bid tenders down roughly 15%. We've essentially completed all bidding activity and have achieved 4% growth in our contracted bid volumes with a price decline of 11% compared to prior bid season results. Consequently, these bids season results along with slightly elevated customer inventories have us trimming our full-year salt volume guidance by about 250,000 tons for 2020. Ultimately, our deicing salt sales are driven by winter weather and we expect the production and logistics cost improvements we've made to provide offsets to lower bid season prices. Similar to the hurricanes hitting Louisiana, our plant nutrition business particularly in North America faced some unforeseen circumstances this past quarter, including extreme wildfires and drought. The smoke from these events has delayed the harvest of key crops, particularly tree nuts. This has also delayed the fall fertilizer application season and thus we believe that a portion of expected third quarter 2020 sales volumes have been pushed into the fourth quarter. Recent conversations with customers have reinforced our confidence that underlying demand remains robust for the remainder of 2020, particularly given that some of these harvests are expected to be very strong translating into nutrient deficiencies for the soil and thus the need for our products. Similarly in Brazil, we experienced some timing issues with sales volumes in the third quarter. After a very strong second quarter, we believe some of our agriculture products sales were accelerated. Additionally, the hot and dry weather in that geography has also been unfavorable. So we believe a portion of what we expected to sell in the third quarter has now shifted into the fourth quarter. On a positive note, South American farmer economics continue to be very attractive particularly for soybeans. In fact, a record-level of the soy crop in Brazil has already been forward sold which means farmers need yield and thus will need our specialty plant nutrients to support that yield. As a result of these underlying positive market fundamentals in Brazil and North America, we're keeping our sales volume ranges for 2020 unchanged for both the plant nutrition North and South America segments. Against the backdrop of the challenges we've all faced in 2020, I'm even more impressed with the efforts of our employees to engage and execute on our enterprise-wide optimization effort. This effort is focused on five broad value streams; namely operations, commercial, logistics, procurement and working capital. I referenced previously in my comments, some of the early benefits coming through our Salt segment results from certain of these value streams. We also highlighted last quarter, the progress we're making with engaging our employees through our organizational health focus as well as the compaction project at Goderich mine to essentially recycle salt fine waste into saleable product at a minimal incremental cost. Today, I'd like to share a little detail regarding a very exciting project at our Ogden, Utah facility. As many of you know, our solar evaporation pond-based SOP production at this site is among the lowest cost processes globally for this specialty form of potassium. Anything we can do to expand our ability to produce with that low-cost feedstock further increases our competitive advantage domestically and globally. In a typical year, the very condensed brines from which we extract both salt and SOP feedstock spend two months in the final evaporation stage. After draining those ponds, we then spend 10 months harvesting which is essentially scooping up the material from dried pond beds and transporting the material to the production plant. The goal of our optimization project is to extend the evaporation season and decrease the length of the harvest period. Doing so, it is expected to materially increase the yield of feedstock from the ponds by insourcing our harvest and haul activities using pond-appropriate equipment, we can do just that. The change in equipment allows us to work faster and deliver more tons per load of material to our salt and SOP plant. Currently under this new equipment setup, we're delivering 28% more tons per load for SOP and about 14% more for salt. As a result, we're able to shorten our harvest season to eight months and extend our evaporation season to four months which ultimately provides us with more and higher quality SOP feedstock. Further, this new equipment is expected to be safer for our ponds, further reinforcing our sustainable harvest practices. This project highlights our ability to look at old problems and generate new and innovative solutions to help ensure the long-term sustainability and growth of our company. As we continue to execute on the many projects throughout these value streams, over the next couple of years we expect to fundamentally improve the earnings potential of Compass Minerals. In the near-term, we continue to aggressively work to overcome the various external factors which have reduced our earnings compared to our original outlook for 2020. Just to level-set a bit, we entered the year with a strong expectation for around 20% EBITDA growth using the midpoint of our guidance provided in February. We now estimate a combined negative impact to this original forecast of about $45 million from several factors which were largely outside of our control. These include mild winter weather in the first quarter, a Brazilian currency that progressively weakened throughout the year and COVID-19 impacts including both the cost of preventative measures at our sites and demand impacts on certain customer and industrial products. Despite these external challenges through a laser-focus on cost and buttressed by our improved operational performance, we still expect to deliver EBITDA growth for the full-year and additional growth in 2021. This is possible because of the underlying resilience of the markets we serve with our essential products, the strength of our advantaged assets and the dedication of our employees to drive improvements through our optimization effort. We've also stayed on course with our strategic priorities and maintained close contact with our customers throughout these unprecedented times. I've recently had the chance to talk with a number of them personally about their own challenges and growth opportunities, and through their perspective have an even greater appreciation for the essential nature of our products and the important role we serve for our customers as well as the communities where we operate. All of these things generate great excitement for me and the entire Compass team. Now, let's hear from Jamie who will discuss the third quarter results and outlook in more detail. Jamie?
James D. Standen - Compass Minerals International, Inc.: Thanks, Kevin, and good morning, everyone. I'll start on slide 9 with some comments on our consolidated results which were challenged by several factors as Kevin discussed. First, sales volumes were lower in each of our segments versus the third quarter of 2019. However, we're actually performing quite well on a year-to-date basis due to a number of timing issues across all three segments which pulled sales into the first-half of 2020. Salt segment sales volumes are down just 9% on a year-to-date basis which is more than explained by the weak winter weather we experienced during the first quarter of 2020. As a reminder, first quarter 2020 snow events were 24% below the 10-year average and 30% below 2019 levels. This weak weather caused customers to take their minimums in the second quarter and therefore put pressure on our third quarter early fill orders. On a year-to-date basis, Plant Nutrition North America sales volumes are up 20% versus the 2019 period, which you may recall was very challenging due to the excessive rainfall in our served markets. Our Plant Nutrition South America segment generated a 5% year-over-year increase in sales volume on a year-to-date basis as strong and early demand for plant nutrients in the first-half of the year offset third quarter sluggishness. Our third quarter Salt operating results helped offset the lower year-over-year third quarter operating earnings and EBITDA results in both of our Plant Nutrition businesses. Lower year-over-year third quarter sales volumes in both Plant Nutrition segments and an inventory adjustment charge in the Plant Nutrition North America segment were the primary drivers of the decline. Despite the challenges we faced, we delivered double-digit consolidated earnings growth as well as strong free cash flow of $126 million through the first nine months of 2020. We discussed our Salt segment third quarter 2020 results on slide 10. Third quarter revenue declined 11% compared to the prior year on a 13% drop in sales volume, slightly offset by a 1% increase in average selling prices. Volumes declined for both our Highway Deicing and Consumer and Industrial sales. In addition to lower year-over-year pre-season demand for deicing products, we are still experiencing some slack in demand for other Consumer and Industrial products due to COVID-19 challenges. Average selling prices in the third quarter of 2020 increased 1% compared to third quarter 2019 results. A shift in sales mix towards lower priced chemical sales pushed Highway Deicing pricing down 8% while Consumer and Industrial average selling prices increased 8%, largely due to strategic price increases implemented as a result of our enterprise-wide optimization effort. On a net price basis, we actually achieved a 5% improvement in average selling price versus third quarter 2019 results with Highway Deicing average net price flat to prior year results, and Consumer and Industrial net price up 8%. Improved production and logistics costs in the 2020 third quarter more than offset lower revenue and resulted in year-over-year increases of 21% for operating earnings and 17% for adjusted EBITDA. In addition to improved Goderich production, we have aggressively implemented initiatives across logistics and procurement that are driving our costs lower. Beyond the logistics improvements Kevin mentioned, we have rationalized our spending patterns to reduce waste. We have also upgraded our global sourcing efforts with comprehensive negotiation of agreements with key contractors and optimization of raw material pricing across all businesses to achieve more favorable scale. These efforts contributed to the expansion of the Salt segment EBITDA margin to 30% compared to 23% in the third quarter of 2019. While these initiatives are expected to drive sustainable improvements for all segments over time, we're pleased to see these early benefits in our Salt results. Turning to our Plant Nutrition North America results which we discussed on slide 11, we reported a 21% year-over-year decline in revenue on a 22% decline in sales volumes, and a 2% higher average selling prices. As already noted, the extreme wildfire conditions in the western US have delayed the start of the application season and we believe they have shifted the timing of SOP sales towards the fourth quarter this year. Earnings for the segment were further reduced by an inventory adjustment due to an error we identified in our measurement of our bulk stockpiles of the standard SOP at our Ogden, Utah facility. This is the product that we stockpile and then process through our compaction system into the various high-value grades of SOP that our customers demand. While we regularly estimate the size of our stockpiles, this can be difficult to assess due to the size and limited accessibility of our storage domes and silos. As we depleted our standard SOP inventory, we detected a stockpile shortfall which occurred over a period of time as these particular domes had not been zeroed out or fully emptied for several years. Once we identified the issue, we reviewed our processes and are implementing several additional operational control enhancements that will improve our estimates going forward and prevent this from occurring in the future. It is important to note that we have determined that this inventory adjustment is not material to any single prior period and furthermore this adjustment has no impact on our 2020 free cash flow and we don't expect these operational enhancements to impact our ability to serve our customer demand or the future profitability of the Plant Nutrition North America segment. We discussed our Plant Nutrition South America segment results on slide 12. This segment delivered a 5% year-over-year increase in third quarter 2020 revenue in local currency, driven by increases in average selling prices for both agriculture products and chemical solution products. These price improvements offset a year-over-year decline in agriculture and chemical solution sales volumes. As we noted on our second quarter earnings call, demand came early for many of our specialty plant nutrition products due to a very attractive grower economics for the Brazilian farmer. Therefore, some of that pull-forward in Q2 is showing up as weakness here in the third quarter. However, we continue to see strong third quarter year-over-year growth in our direct-to-grower sales channel on flat volumes and improved product sales mix. Both direct-to-grower and B2B sales volumes were also impacted by the late start of the spring rains in the Cerrado region in the central of Brazil. These dry conditions delayed fertilizer applications and we believe they are therefore pushing some of our sales volumes into the fourth quarter. In local currency, third quarter 2020 operating earnings and EBITDA declined 9% and 7% respectively, which was mostly attributable to lower volumes in our B2B business compared to the prior-year quarter and continued aggressive investment in our direct-to-grower sales force. We discuss our outlook for our segments on slide 13, while we have reduced our full-year Salt sales volume guidance we still expect an increase in our Salt sales volumes and revenue in the fourth quarter compared to prior year. Our EBITDA margin for this business is expected to contract due to the reduction in average awarded bid prices for our North American Highway Deicing customers. Ultimately, our average reported Highway Deicing sales price will be impacted by the sales mix we achieved in the quarter based on winter weather activity. In an average winter scenario, we're expecting Highway Deicing average selling prices to decline about 8% compared to prior year and the Salt segment overall is expected to see a price decline of around 5%. We continue working to offset the impact on our operating margins with both value creation and cost containment through our enterprise-wide optimization effort. We expect improved sales demand sequentially and year-over-year for both of our plant nutrition businesses. In North America, our sales and earnings are expected to be driven by a rebound in SOP sales to western US markets that have been negatively impacted by wildfires and dry conditions. The fourth quarter is also typically the strongest selling season for micronutrients. And that seasonality should drive modest improvements in sequential price results. In Brazil, given the fact that so many soybean growers forward-sold their crops, achieving strong yields will be important and we anticipate a strong rebound in sales volumes in the fourth quarter. Additionally, the spring rains in many of these important growing regions is now well underway which bodes well for our fourth quarter results. Although we expect increases in sales volumes compared to 2019 fourth quarter results, the weaker currency is expected to keep our reported US GAAP results flat with prior year. In local currency however, we expect to deliver 20% to 25% EBITDA growth compared to prior year. Full-year outlook items are found on slide 14, due primarily to the modest reduction in our full-year Salt sales volumes, weaker Brazilian currency and the ongoing COVID-19 operational and commercial impacts we have decided to update our full-year adjusted EBITDA guidance. Excluding the inventory adjustment, we are now expecting to deliver $330 million to $345 million of adjusted EBITDA for the full-year 2020. Now finishing up on slide 15, we are very pleased to report that we still expect strong free cash flow generation of around $125 million for the full year despite the headwinds Kevin and I have discussed today. Our net debt-to-adjusted EBITDA ratio is expected to end the year below 4 times as we continue to make progress improving our balance sheet and maintaining a very strong liquidity position. As we enter these last two critical months of 2020, we remain focused on keeping our people safe, controlling our costs, optimizing our operations and delivering our essential products to satisfied customers around the world. With that, I will ask the operator to begin the Q&A session. Operator?
Operator: Our first question comes from the line of Mark Connelly with Stephens. Go ahead please, your line is open.
Mark Connelly - Stephens, Inc.: Thank you. Kevin, you've made a ton of changes since you arrived at Compass, particularly at Goderich but also in Ag (00:26:42). So I was hoping you could talk a little bit more about the progress you're making with Goderich because you've got a lot of different efforts there. I'm wondering if you could help us understand where those stand? And on a related note, we've now seen two smaller US salt businesses agree to change hands at prices that are far higher than what people are paying for Compass. Is there anything about those assets that suggests they're more valuable than your Salt franchise?
Kevin S. Crutchfield - Compass Minerals International, Inc.: Hey, Mark, good morning. Thanks for the questions. I'll talk at a high-level a little bit about Goderich and I'll look at George to see if he wants to add anything to it. But I think just from an overall standpoint, we feel really good about where things stand at Goderich; the continuation of the development of the long-term plan, long-term mine plan continues kind of on schedule. We're working on our East built-for-purpose roadways to get that western area opened up and develop some new mining rooms. We've got the new CM-46 (00:27:44) on site now. It will be taken underground in pieces, parts and put together and should be operational I think by – certainly by the end of the year, maybe even sometime in December. So we feel really good about how things are going at Goderich. It's producing much more consistently as the evidence notes in the material this morning. Volumes are much more consistent, they're much higher than where they have been. We're seeing the cost effect of that and I think I would be – (00:28:17) not to talk about how pleased we are with respect to the safety effort up there and the relationship that we have with the local union on site. Things are going overall pretty well. We still have a long ways to go. We're not at all satisfied with where we are. We still have a long ways to go but overall very pleased. And I'll look at George to see if he wants to add anything to that before I hit your second question.
George J. Schuller - Compass Minerals International, Inc.: Yeah. Thanks, Kevin and thanks, Mark. I guess just maybe a couple of things as Kevin hit most of the highlights. Again, it is really around optimization as well around our mechanized mining and what we're doing with some of our maintenance practices. Again, it's taking a long-term look where we used to be a drill-and-blast operation where we went to mechanized mining and really trying to find those opportunities. As Kevin highlighted, we started with safety as a foundation. Clearly, our workforce, our leadership team there is really making some really; I would call it, giant steps. We've got a good experienced workforce there, so there's a lot of things that; compaction steps being opened as we start to go into the fourth quarter as well. Basically how we look at our ship rotations, those types of things. But you can probably tell from my tone and I'm pretty upbeat on where we had been and where we are and where we're going to continue to go. So, thank you Kevin.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah.
Mark Connelly - Stephens, Inc.: George, are you done with your compaction project or...
George J. Schuller - Compass Minerals International, Inc.: Yeah. Sorry – sorry about that, Mark. We're not quite complete. I mean we actually have it in, we're operating and what we're doing now is I guess, I'd call it, optimizing. So we're probably if I was going to tell you at about 90%. That's probably where we are, just an optimization. So it's kind of tweaking a little bit to make sure that we get the right-sizing, the right material going through. But I'm feeling pretty good about where it's at and where it's going to continue to go. Thank you.
Mark Connelly - Stephens, Inc.: Sure. Thank you.
Kevin S. Crutchfield - Compass Minerals International, Inc.: On your second question, Mark. We've obviously watched the shift in the Salt landscape pretty closely and followed the last process pretty closely. And obviously the Kissner consortium is a very well-seasoned and very well-respected group and they were clearly in it to win it. And when you look at the valuation at a headline level, it certainly – it looks rich and I think it does point out the difference in the way the public sector views quality Salt assets versus the way the public sector values them. But I also think that they probably made some (00:30:49) I guess I'm just speculating but made some adjustments for the weather and I think they see some pretty significant cost-out synergies. So I don't think they view that they pay the kind of headline multiple that everybody else is talking about. But you're right. It does point out a pretty significant difference in the way private markets view quality Salt assets versus the way public markets view them. And I guess my view is all boats lift on a rising tide and I think as we continue to put runs on the board here that we'll see that multiple valuation improve on the Compass equity as well.
Mark Connelly - Stephens, Inc.: Thank you, Kevin.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Thank you, Mark.
Operator: Our next question comes from the line of Vincent Anderson with Stifel. Go ahead please, your line is open.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks and good morning. Nice job at Goderich again this quarter, just trying to true-up my estimates. With the quarter up 53% year-over-year, where does that kind of leave your run rate relative to your near-term targets?
George J. Schuller - Compass Minerals International, Inc.: Just particularly about Goderich mine Vincent, is that what you're asking?
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Yes, sir.
George J. Schuller - Compass Minerals International, Inc.: Yeah. Yeah. So, we've still got a little bit of room to run. We're very pleased with the rates we are producing. It's hard to put it as a percentage of where we think that asset can be because there's a lot of upside from here still. But I would say – I'd say, we have significant upside but we're very, very well-positioned in terms of productivity and production versus where we had been historically.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah. And I would add to that too once we get this new unit underground and installed, we'll see another appreciable bump in production, consistency, reliability. And as a – you're all probably getting tired of me saying this but I think by the time we get done with Goderich, we'll run out of market before we run out of capability at Goderich, and then it will just be then a function of fine-tuning Goderich and then calibrating it with the supply-demand balance and not trying to force tons into a market that really didn't want them. So that would be a high-class problem, first-world problem when we get to that point and we're excited on the trajectory that we're on.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Perfect. And you kind of addressed this earlier and forgive me if I just didn't catch it right, but when you think about what you saw on the last legs of this bid season, did you pull up on the amount of tons you were trying to place or did pricing just kind of start to come down at the tail end as maybe people you took share from earlier in the bid season were scrambling to place volumes?
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah. Look, I'd characterize it and let Brad comment on this too, but I'd characterize it as, as the season went on we maintained our discipline, looked at it from a cost production standpoint of what we thought the price might go for and there were just some things that we elected not to pursue. We bid what we thought it was worth. We did win; sometimes the best deals that you do with the ones that you don't and we were okay with that. So we still were able to call back about 4% market share which is down a little bit from where we thought we'd be. But we ended up – I think we're pretty happy with where we ended up. Brad, would you add anything to that?
S Bradley Griffith - Compass Minerals International, Inc.: No, Kevin. I think you nailed it. Just one other comment there Vincent, we certainly expect the Salt segment to be up in the fourth quarter on revenues versus prior year. And as Kevin said, overall I think we're very pleased with the bid season. We have been able to place more of those low-cost Goderich tons that both Kevin, George and Jamie were referencing.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: All right Thank you.
Operator: Our next question comes from the line of Chris Parkinson with Credit Suisse. Go ahead please, your line is open.
Christopher Parkinson - Credit Suisse Securities (USA) LLC: Thank you. So there've been a couple of smaller deals announced in Brazil in both Ag and just plant nutrition; a few let's say comparable substrates. Can you just give us an update on your thought process of the eventual sales of the Brazilian assets, just how should we be thinking about that currently? Thank you.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah. Thanks for the question. Yeah, we noted those as well and we think that bodes well for us and we're just assessing the situation and thinking through carefully when we want to restart the process. That's probably in the not too distant future but we think those transactions bode well for our process when we do reengage and reinitiate, so we're monitoring that very closely and we'll have something to say about that certainly on the next call, if not before.
Christopher Parkinson - Credit Suisse Securities (USA) LLC: And just a quick follow-up, just – can you just offer a little bit more color on the general outlook? I know you mentioned it in your prepared remarks but just on freight costs, how should we be thinking about this for 2021 across your different verticals on the US? Thank you.
James D. Standen - Compass Minerals International, Inc.: Yeah. Sure. Let me take that one, Kevin. So as we think about freight the rest of the year, obviously fuel – where is fuel going to be. If it stays below $40, we've got some benefit coming in the fourth quarter this year. As we get into next year, let's talk about Salt. I think we've got – we should be flattish in the first-half of 2021. And then we think, based on some of our enterprise-wide optimization efforts, we'll continue to work those and get some relief in the back-half along with some contractual things we're working through with certain of our suppliers. In Plant Nutrition North America, I think you could expect to see some general inflationary pressure as it relates to freight. Of course, we always have shifts by quarter depending on whether we're shipping more to the east or more to our southwest markets. And then in Brazil, again it's just inflationary pressure and we do see quite a bit of noise down there quarter-to-quarter in the freight line alone just due to customer pickup versus delivery. That can vary. So it's more of a net sales, net price analysis that we do down there. But we would expect again just basic inflationary pressures. Although I would say we're doing a lot of work on the logistics side to give us some upside there or cost improvement in logistics.
Christopher Parkinson - Credit Suisse Securities (USA) LLC: Thank you.
Operator: Our next question comes from the line of Joel Jackson with BMO Capital Markets. Go ahead please. Your line is open.
Bria Murphy - BMO Capital Markets Corp. (Canada): Hi. This is Bria Murphy on for Joel. Thanks for taking my questions. With lower awarded bid season volume assumptions and assuming normal weather, what do you expect Salt cost per ton improvements to be in 2021?
James D. Standen - Compass Minerals International, Inc.: So, on a normalized basis, the bid commitments don't have a huge impact on that. We would envision having – obviously the price impact in the first quarter of the year, continued improvement at Goderich. We're not quite ready to put an actual cost per ton out there yet but our goal is to drive into this low-30% EBITDA margins in 2021 and to do that we're going to need to see some significant Salt cost improvement. So until we – we'll talk more about this specifically on our – in February when we talk about the full-year 2020 and give you a full-year guidance for 2021. But it would be a couple of dollars high-level is what I would expect across the entire Salt segment.
Bria Murphy - BMO Capital Markets Corp. (Canada): Thanks. That's helpful. And then just you mentioned negative COVID-19 impacts from lost sales and incremental operating costs. I think there were about $7 million through Q3, have you made any offsetting COVID-19-related savings. And if you have, are these sustainable looking into 2021?
James D. Standen - Compass Minerals International, Inc.: We've got a number of things that have offset some of those costs, thinking about T&E and just constrained spending through SG&A but we think of many of those costs being offset by our enterprise-wide optimization efforts. So within that number, we've seen a little bit of benefit in our business on the sanitation and the chemical side down in Brazil, but it's not that significant. Most of our offsets there have been just our own internal improvements through procurement, logistics, operations and commercial.
Bria Murphy - BMO Capital Markets Corp. (Canada): Thank you.
Operator: Our next question comes from the line of Mark Connelly with Stephens. Go ahead please, your line is open.
Mark Connelly - Stephens, Inc.: Yeah. I wanted to come back to Brazil for a second. Obviously, with late planting it certainly feels like the sales should have been just pushed back but there's also a compression in the season and does that raise the risk that you end up with a shift to more foliar and would that be a significant margin implication?
S Bradley Griffith - Compass Minerals International, Inc.: Hey, Mark this is Brad Griffith. I think when we look at the drought conditions in Mato Grosso and Paraná state specifically, delaying planting, it has delayed soybean planting by three to four weeks roughly.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Right.
S Bradley Griffith - Compass Minerals International, Inc.: I think, by and large, our portfolio is not impacted by that whatsoever. We are driving sales significantly there. In fact, our B2C volumes, that's our direct-to-farm volumes are up 33% third quarter to-date; revenue is up 37.5% third quarter to-date. So, I don't see any compression impacting soybeans. If anything, there may be a bit of a move on safrinha corn, some of that could be a bit compressed. Our team has been working diligently with producers and some of our online retail distribution customers in preparation for that. So, our intention is to maximize the sales opportunity with several of our products like Poly Blend (00:42:05) and Concorde specifically for the corn crop. So we're ready.
Mark Connelly - Stephens, Inc.: Okay. And just one more question. SOP prices were down which makes sense because commodity SOP was down too. Are you comfortable with the current SOP premium and does the fire challenge in California put downward pressure on SOP prices as you look at 4Q?
S Bradley Griffith - Compass Minerals International, Inc.: Yeah. Good questions, Mark. So, as I think about SOP pricing, you've got to look at a number of factors. First of all, pricing for us in the third quarter was impacted probably two-thirds by non-Canadian and non-US, what we would call export, so products that we're pushing outside of Canada and the US, and also by just dynamic pricing to defend our market share versus imports. It's also important to note that because the granulated volumes were lower for the reasons that Kevin had mentioned earlier, we sold a bit more standard as a percentage in the third quarter than we sequentially did last year. So, all of this those things combined have put a little bit of downward pressure on us. Now, to answer the second part of your question I think it's important to note European producers continue to see strong demand in South America, the Middle East and South Asia, these markets that they have traditionally served, okay? And as you said the MOP, the SOP premium in the EU has held consistent as it has in the States in that $200 to $225 range. So I think we feel good about it. The euro has recently strengthened to the US dollar and freight rates are moving back up which could bode well for pricing in the US as imports look to potentially price higher if they expect to gain entry into the US. Does that help?
Mark Connelly - Stephens, Inc.: Super helpful. Thank you.
Operator: Your next question comes from the line of David Silver with C.L. King. Go ahead please, your line is open.
David Silver - C.L. King & Associates, Inc.: Yeah. Hi. Thank you. So apologies in advance, I did have to step away at a certain point, so apologies if I'm making you repeat yourself. I had a couple of questions I guess on the SOP market or the SOP unit. First of all, with the variance in the stockpile that led to the $7.4 million charge, back-of-the envelope I'm looking at and if I use a $500 accounting cost per ton, that's close to 15,000 tons, is that kind of the ballpark? And then maybe if you could just comment on over what timeframe maybe that build-up of missing inventory or missed measurement occurred, that would be helpful. And then second also on SOP, if I could just get a little bit of color from your perspective on just how disruptive the wildfires have been regarding some of you're – the agricultural regions. I mean if I think of the SOP going to fruit, vegetables and tree nuts, I mean I'm thinking the fruit and vegetable crops are not in an area – not generally in areas where I would think the fires could get at them directly. Tree nuts or something like that might be a different story. So how much of the disruption might be temporary versus something that really does damage to the trees or the other growth elements of the products that use the SOP? Thank you.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Thanks, David. Let me – I'll take the first part of that and then maybe Brad you take the second part, but you're in the right ballpark, maybe a little bit low on the tonnage you mentioned. As it relates to the time period, this goes back to our expansion at the site. Remember, how we've upgraded that facility to be able to make 325,000 plus the pond-based tons back in 2016. We did that work 2017 with some commissioning. We ran it really hard to test all the systems. So it goes back to that timeframe of when this accumulation of the inventory-linked leakage or shrinkage if you will has occurred. Brad, you want to hit on the...?
S Bradley Griffith - Compass Minerals International, Inc.: Yeah. I'd be happy to. Hey, David, so on the wildfires it's a really good question. That is the underlying driver for what delayed the almond harvest, so this kind of a lack of those sunlight and the drying time and the ripening of the nuts, if you will. When those things were shaken, they sat on the ground probably a little bit longer than any producer would have wanted them to. We're not seeing a tremendous amount of damage. This is still a record crop. Okay. I think that's the important thing to note. These producers are exceptionally resilient. They have still delivered a record harvest profit in terms of volume. So I don't expect – to answer your question, I don't expect any sort of demand destruction at all with harvest being delayed, call it, four weeks, it has pushed the fertilizer application window back a bit. Our customers – our distribution and retail customers in California have been extremely confident that they believe they'll be able to meet that narrowed window, if you will, in terms of helping these producers get the appropriate fertility to replenish the soil from what was a record harvest. I think that's great. You're right on fruits and vegetables; we don't see any real issues there whatsoever; melons and berries. If you think about Napa, Napa has been impacted. I think a lot of the chardonnay grapes came out on time. No impact there. But some of the reds (00:48:47) have been impacted by smoke taint. Anything that was hanging out there while this smoke happened has been impacted and that's going to be destructive for certain wineries and orchards in that part of the world. But again the use of SOP is much smaller than what we see in tree nuts. So not something we would consider material. And similarly there's going to need to be a fertility program that drives production for grapes as well and we stand ready to meet that need as well.
David Silver - C.L. King & Associates, Inc.: Okay. Thank you for that and I appreciate it. And then just one question about the adjustment to your bid season projections from, let's say, three months ago plus a – down to plus four, I'm just wondering – I mean your team is probably – this is an area where you're probably, I don't know amongst the most sophisticated operators or players that I can imagine. I mean you have databases going back decades and you've got the territory marked pretty good. So I'm just wondering is there a cause that you could cite for the drop in the bid success? And in particular – I mean I'm just – I'm noting that there is a new player in the salt market that might be thinking about carrying a lot of debt and just wondering if that's changing the competitive behavior in any meaningful way that you could cite regarding the tail end of this bid season? Thank you.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah, I'll – let me hit the last part of your question first. Yeah. We got a new player in there but again what I'd refer back to is these are – a seasoned team that's been in this business for a long time and we've seen nothing that suggests that they're operating to make debt payments or interest payments or anything like that. Nothing but rational behavior, and I think with the bigger transaction that they've just announced they're focused on – okay, yeah they probably are going to lever up but they're focused on margin enhancements because when you look at our margins even before the improvements, we're in the process of making relative to the assets that they acquired, our margins are substantially better. So I think they're going to be focused on that margin enhancement. And one way to do that is not to sell cheap. So I think they're going to behave very rationally in the marketplace. So, no worries and I wouldn't attribute anything to that as being a phenomena in the marketplace we saw. I mean – look, what we did was as these bids came out, we provided feedback that we thought was fair value for our product. And if we win, we're happy. If we lose we're okay with it. So – yeah, I got a little competitive there at the end but I don't have any and don't make any apologies for passing on business that we don't think makes any sense for us. So I'd rather have the 4% of where we ended up rather than that incremental additional 4% at a lesser price. That gives us the opportunity to continue growing our margins after that low 30% – low to mid 30% range that we've been talking about all along.
David Silver - C.L. King & Associates, Inc.: I really appreciate the color. Thanks very much.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Thank you.
Operator: Our next question comes from the line of Vincent Anderson with Stifel. Go ahead please, your line is open.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks for (00:52:52) me. I just had one more for Brad. I just wanted to check in on the new Ag product commercialization effort. Maybe, broadly speaking, if you could talk about how marketing to maybe some of the larger cooperatives differs from trying onto the shelves of the more established retailers and just any general progress you've made on that front heading into next year?
S Bradley Griffith - Compass Minerals International, Inc.: Hey, Vincent. Thanks. Good questions. So let me see if I can get after them. So, first of all, let's start with the micronutrients. We've had a solid year-to-date. Our revenues, they are up 26% third quarter to-date. There continues to be good customer enthusiasm for fertilizer additive products like our Wolf Trax DDP and some of the newer nutritional brands like Rocket Seeds that you're referencing. I'm also excited to report that we are launching three new specialty products under the trademark Hydro Bullet in specialty – with specialty and row crop utility. So we're going to begin shipping those now for the 2021 USA crop season for on-farm trials. The products there Vincent, we have Hydro Bullet Bloom, which is the micronutrients and seaweed extracts that are intended to mitigate reproductive stress in the plant. We have Hydro Bullet Battalion; these are all liquid products by the way, foliar products. Hydro Bullet Battalion which is an amino acid-based liquid fertilizer and that is for abiotic stress prophylaxis. So, call it (00:54:31), heat, cold tolerance et cetera; and Hydro Bullet Big Iron. This one we're really excited about as well. It's an IP protected novel delivery technology for iron. And as you know iron is an imperative element for chlorophyll production and vegetative growth. So we're excited to bring those too to market as well. We continue to work in our innovation here in Kansas City and also in South America on a number of projects, both on the salt side of the business and on the plant nutrition side of the business and we're making good progress on a prioritized set of those projects. So we expect to continue to be able to report new innovation across our portfolio in the future. And on the marketing side Vincent with (00:55:24), I think we've had – we continue to have good success with our customers. We've become a much more reliable supplier on the SOP side of the shop and also on the micronutrients in terms of having products where and when it's needed and really working closely with our distribution customers to educate and also to facilitate sales to the end-user farmer customer. So I feel good about the progress we've been making. We wouldn't be seeing these double-digit gains if it wasn't beginning to hold water. So thanks for the question.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Yeah. Thank you. Actually, just one quick point of clarification actually, the 2021 season you said field tests, are those commercial field tests or university?
S Bradley Griffith - Compass Minerals International, Inc.: Commercial. Yeah. So it will be (00:56:17), but I think it was important to note is that farmers aren't going to automatically switch a 3,500 acre farm and put 100% of your foliar product on 3,500 acres. That's very rare.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: Sure.
S Bradley Griffith - Compass Minerals International, Inc.: So they'll typically give you the worst 50 acres on the farm and see how it performs relative to what has been their standard. And when our products show up well on some of those tough acres, it really reinvigorates their confidence to put it on a much larger portion of their land. So that's what we're doing next year, 2021. We're going to take on the challenges and hopefully perform and exceed expectations.
Vincent Alwardt Anderson - Stifel, Nicolaus & Co., Inc.: All right. Well, thank you very much for that.
Operator: And ladies and gentlemen, that concludes the Q&A portion of today's call. I'd like to turn the call back over to Kevin Crutchfield for some closing remarks.
Kevin S. Crutchfield - Compass Minerals International, Inc.: Yeah. I just want to conclude with a couple of things. I know today is a really busy day, so thanks for taking time out to tune in. I continue to be very, very excited about what I see here; accomplishing the things that we have in progress. I couldn't be more pleased without the direction we've got in the Salt franchise going. We've made a lot of improvements so far but we've got that much to go again and remain very excited about that. And then on the plant nutrition side, the back-half of the year or the back quarter of the year, the demand is there. It's just going to be a compressed season but I have every belief that our team will be able to deliver and we'll end up the year in a good spot. And then last but not least for those of you not already aware, I'm sad but also excited to report that Theresa is moving on to a bigger and what looks like to be a very significant opportunity, so this will be her last earnings call with us and I would be remiss if I didn't take just a few minutes to thank her for her – over a decade of great – great service to Compass Minerals. We're going to miss her but it looks like a great opportunity. So we never want to hold anyone back and we're very excited about her new opportunity but we'll certainly miss her. But I did want to take a few minutes to thank her for her service on this call. And I'm sure many of you will want to reach out and say goodbye as well because she's changing sectors on us but anyway congratulations, Theresa.
Theresa L. Womble - Compass Minerals International, Inc.: Thank you very much.
James D. Standen - Compass Minerals International, Inc.: Congratulations.
Kevin S. Crutchfield - Compass Minerals International, Inc.: So that concludes our earnings call today. Thank you very much for your participation and we'll keep you updated in the future. Have a good day everybody.
Operator: Ladies and gentlemen, this does conclude today's conference call. We do thank you for your participation. You may now disconnect.